Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Rollins Inc. Third Quarter 2012 Earnings Conference Call. During today’s presentation, all participants will be in a listen-only mode. Following the presentation, the conference will be open for questions. [Operator Instructions] Conference is being recorded today Wednesday, October 24, 2012.
 At this time, I’d like to turn the conference over to Marilyn Meek [ph]. Please go ahead, ma’am. 
Unknown Executive: Thank you. By now you should have all received a copy of the press release. However, if anyone is missing a copy, and would like to receive one, please contact our office at 212-827-3746, and we will send you a release and make sure you are on the Company’s distribution list. There will be a replay of the call which will begin one hour after the call and run for one week. The replay can be accessed by dialing 1-800-406-7325 with pass code 4568454. Additionally, the call is being webcast at www.viavid.com and a replay will be available for 90 days.
 On the line with me today are Gary Rollins, President and Chief Executive Officer; and Harry Cynkus, Senior Vice President, Chief Financial Officer and Treasurer. Management will make some opening remarks, and then we will open up the line for your questions. Gary, would you like to begin? 
Gary Rollins: Yes. Thank you, Marilyn [ph], and good morning. We appreciate all of you joining us for our third quarter 2012 conference call. Harry will read our forward-looking statement disclaimer, and then we’ll begin. 
Harry Cynkus: Our earnings release discusses our business outlook can contain certain forward-looking statement. These particular forward-looking statement and all other statements that have been made on this call excluding historical facts are subject to a number of risks and uncertainties and actual risk may differ materially from any statements we make today.
 Please refer to today’s press release and our SEC filings, including the risk factors section of our Form 10-K for the year ended December 31, 2011 for more information on the risk factors that could cause actual results to differ. 
Gary Rollins: Thank you, Harry. I’m pleased to report that following a very strong first half, we continue to post solid performance in our third quarter. Revenue for the quarter rose 5% to $340 million, and net income increased to approximately 10% to $32 million, with all of our brands and service lines contributing to our growth.
 Residential pest control had a 7.5% increase. Commercial pest control posted a 4.3% increase, excluding fumigation. This was the third consecutive quarter of increased revenue growth for commercial, and the best quarters for commercial in a while. Termite was up 1.8%. We have from time-to-time over the past few years talked about our ability to grow our business in all types of economic environments.
 At the forefront of this capability is the makeup and balance of our revenues, which come from different sources at different times through the year. Although, our company’s concentration is all under the pest control umbrella, there are multifacets to this business.
 Residential pest services, commercial pest services, which consist of local and national accounts. Termite control, new construction termite treatments, new home tubes in the wall, fumigation, ancillary services and so on. Another strength of the company is our geographic diversity, which is accomplished through our over 400 branches located from coast-to-coast.
 For those of you on the call know, one never experiences the best, or the worst weather all the time. For example, this summer the drought in the Midwest dampened our growth opportunity there. A drought typically translates to a increase in pest pressure and prospect demand. More than offsetting the Midwest handicap, we had other areas of the country which have done very well weather wise and business wise.
 Although, you can never plan precisely or anticipate all the business ups and down, it’s very beneficial to have these counteracting elements that I’ve mentioned that overall provides unique company stability. Another example of diversity lies with HomeTeam for instance.
 We acquired this great company in 2008 as part of our strategy to be able to more effectively market the new homeowners.
 HomeTeam works with the leading builders across the country, including the nation’s top 3 production builders Pulte, D.R. Horton and Lennar as well as the nation’s top luxury home builders Toll Brothers. Incidentally, we just reached an expanded national agreement with Lennar effective of September 1, which will further add to our market penetration next year.
 Each month, the NAHB, National Association of Home Builders along with Wells Fargo survey the NAHB members to measure consumer confidence in the single-family housing market. We’re pleased that this housing market in-depth has reached its highest level in the past 6 years.
 With the low mortgage rates increasing new housing starts and the new home inventory supply down, homebuilding appears to be well on its way to recover. While revenue from builders is a small part of our total business, it offers us unique opportunity and an avenue to add new customers where you can also cross market our other service.
 We’re now benefiting from this new home construction trend. HomeTeam is currently on track to install in excess of 50,000 add [ph] Tubes In The Wall systems this year, increasing nearly 30% year-to-date. Although initial installations have startup cost involved, they will translate into more than 30,000 new customers next year, as owners move into these new homes and activate their pest control system.
 Taexx installs are forecasted to continue to grow in 2013 exceeding this year’s level due to our positive momentum, which will provide a solid revenue stream going forward. This high, because of their strong relationship with their builders, prior to installing our Taexx System; HomeTeam does their pretreat on that work as well.
 Another area that we’re seeing really good growth is in the animal and wildlife control. And like 2010, we acquired Trutech, the premier wildlife control company, which provides us with expanded expertise that we can use in providing comprehensive pest control services for our customers. Since they joined us, they have been posting excellent sales growth compounding at over 30% annually. Our animal control business is continuing to grow in importance. As an example, we just recently acquired a company in the Northeast, The No Fly Zone, that specializes in bird control.
 Trutech also serves as the good example of our ability to enhance our acquisitions' contribution through the provision of capital, system know-how, improved purchasing, providing cross division leads and expertise in Internet market. All of these behind the same factors of improved margins while growing this business through faster expansion into different markets.
 As we have predicted or thanks to the no end for the demand for our bed bug business. Our third quarter was the biggest quarter ever for this service over $14 million in sales and greater than 30% increase over the prior year. In the first 9 months of 2012, we did as much bed bug business as we did all of last year.
 We also had a substantial increase in our mosquito business in the third quarter. This year’s outbreak of the West Nile virus was the worst in recent decades than many were reminded into the health danger to our families that mosquitoes represents.
 This outbreak scattered in North Texas with more than 80,000 estimated infections in the region. While most cases weren't serious, 100s were  and in Dallas County alone 16 deaths were reported. Nationwide, the death toll hit 160 people. Mosquito service is still only a very minor part of our business, but it in our bed bug service the further examples of our diversity while addressing the 2 additional target pests that are helping to build our brand.
 So you can see that Rollins is not just Orkin or convenient conventional pest control. We are a team of leading brands growing through regionalization and specialization within our markets, and most importantly we are seizing on  many opportunities to keep our company moving forward with growth faster than our ambition. Our geographic balance certainly help us, but is not just the geographic mix that strengthens our business, as the overall diversification of the company I’ve described that is a unique strength.
 Our mainstay of growth hedges have on new customer service programs focused to improve customer satisfaction and retention. Our net promoter numbers are again up for a year, reflecting good service improvement and increasing customer satisfaction, which is all fortified by improved employee retention.
 As an example of this focus, Orkin this year launched a companywide initiative called the Orkin Prompt, which is a commitment each employee makes to his or her customers each and every day by providing top quality service.
 The 4 points in the promise are to be respectful, responsible, effective, and informative. Because technically, we promise working customers will receive a respectful and professional specialist who shows up on time and when prompt that provides effective and responsible treatment to solve their problem, to share the information on what we found, how we handled it, and what to expect next, and to deliver proper response and resolution to any service request within 24 hours.
 We know that we have to work hard everyday to be the world’s best service company. And this is just one important program we put into place as we continue to work to that that end. This has been an exciting year for our company. We’re continuing to benefit from the contributions of all 4 major brands and a number of initiatives instituted this year.
 There is a great deal of enthusiasm and excitement about what we’re doing and accomplished. Our culture of continuous improvement helps to keep this energy alive.
 I’d like to now turn the call over to Harry. Harry? 
Harry Cynkus: Thank, Gary. Good morning, and thank you all for joining us on the call. I don’t think that Gary left me with much to cover. Well, maybe a few financial facts. Today, we reported revenue of $340.2 million, representing 5% revenue growth.
 Net income increased 9.5% to $32.2 million, or $0.22 per diluted share, compared to $29.4 million, or $0.20 per diluted share for the same period in 2011. Year-to-date revenue is $964.5 million, a 5.3% increase, while net income increased to 11.8% to $88.4 million. EBITDA totaled $170.6 million, while EPS has increased 11.1% to $0.60 per diluted share.
 We continue to maintain our solid momentum, and seeing no significant changes to the fundamentals that drive our business, lead, pricing, closure and customer and employee retention. All working together to position us well for the remainder of this year, and a great stepping stone for next year.
 Let’s get deeper into the results. This year we have seen revenue growth across all brands and all service line. Another strength of this company is its recurring revenue model, nearly 80% of our revenue is recurring. The beauty of a recurring revenue is, it recurs and continues to recur not unlike a magazine subscription, that stability of that recurring revenue, is the driver and consistency of our performance.
 Life’s a lot easier when you just need to replace 20% of your non-recurring revenue each period. Leads, sales, closures, pricing are all levers to work in replacing that 20%. But it’s equally important to constantly work and improving customer satisfaction. And that drives your retention on the other 80%, and that determines your long-term success.
 Let me first address what’s happening with that 80% base of recurring revenue. First, as Gary has already mentioned, we have continued to see improvements in our net promoter scores. Our efforts in our quest to become the nation’s best service company by improving customer satisfaction as a part of everything we do or taking hold and our residential customer base is growing.
 Retention this year has improved for both residential and commercial pest control. Regardless of the economy, happy customers plus a service that has inelastic demand is a powerful combination. Selective pest control customers saw a price increase beginning in the June or July billing cycles. Our earlier price testing showed no changes in the elasticity, and our actual results mirrored the test. In fact retention within price increase group is largely better than last year. We believe that is due to higher customer satisfaction.
 Overall, the revenue realization should be in the same neighborhood as realized last year, $15 million to $20 million, on an annual basis. As to replacing the 20% of non-recurring revenue I discussed earlier, the first step is leads. Demand for our business by new prospects.
 In order to drive residential pest and termite sales, we continue our success with residential experiencing double-digit lead growth at Orkin, and increased installs at HomeTeam that Gary addressed. Leads don't do you any good unless you ultimately close them. Our closure by source held steady, sales were at a higher price.
 Commercial pest control sales are typically creatively obtained by knocking on doors and making proposals, but it’s still good to see double-digit lead growth in that area as well. We are also benefiting from the sales management system we have developed. It doesn’t hurt to know whose door you should be knocking on and tracking results. Again, we saw a good price realization.
 This time of year, termite leads drop off, so termite sales and likewise need to get creative by cross selling to pest customers, provide prospects free reinspection and selling ancillary services, installation, dry zone, moisture control etcetera. We saw a small drop in leads in the third quarter of this year and pricing was relatively flat, as Gary already mentioned, the pre-treat work mostly does with builders helped us in this business line.
 So with all that background, our residential pest control is up 7.4%, commercial pest control increased 3.6%, and termite, 1.9%. To judge the true strength of our commercial revenue at times, you need to exclude fumigation. But fumigation is a small part of our commercial business, 7%. It swings, can distort the true strength within the other 93% of our business. When you look at commercial excluding fumigation, it was up 4.3%. Its strongest quarter in the past seven.
 The mix of business doesn’t change quickly, but both residential pest control and commercial represent 42% respectively. With Residential’s accelerated growth over the last 2 years, it has now again overtaken commercial as our largest service line. What a wonderful situation to have, each very profitable service line keeps striving to be the revenue leader.
 Gross margin for the quarter increased to 49.9% through the third quarter versus 49% in the prior year due to private tubing[ph]improvements and more favorable claim development cost with regard to termite cost and litigation which were partially offset by higher causality and medical costs.
 The nice growth for HomeTeam and Taexx installs that Gary talked about does have some drag on margins in the short term. But installs carried period-to-period are accelerated. These systems are sold to the homebuilder at a substantial discount to our cost in order to obtain the ultimate customer, the new homeowner.
 Installs for HomeTeam are the equivalent of leads for Orkin. Depreciation and amortization expenses for the quarter increased slightly, $128,000 totaling $9.5 million. Depreciation was $3.8 million and amortization of intangibles which will remain a significant non-cash charge to the P&L for sometime was $5.7 million.
 We are a non-capital intensive business with CapEx running at $11.8 million year-to-date. Sales, general, administrative expenses increased $6.1 million or 6% to 31.9% of revenue increasing from 31.6% for the third quarter ended September 30. Increasing cost as a percent of revenue is primarily due to a nearly 70 basis point increase in bad debt expense along with increases in medical costs and higher sales salaries.
 I don’t mind a higher sales salaries, because it means we had people selling more. Higher bad debt are those that does matter. We believe our bad debt expenses impacted us due to September having 2 less work days, therefore 2 less collection days than a year-ago. We get those 2 days back in October, and I assure you we have people working the phones, working hard on collections.
 The last item to note on the P&L provision for income tax was 37.7% versus 37.4%. I look forward to corporate income tax reform. Service companies don’t enjoy some of those incentives and loopholes available to other industries.
 I wanted to provide you with an update on our branch operating CRM system or ServiceSuite as we refer to it. We’ve had 8 branches piloting the software, and held off not adding any additional pilots over the summer as we continue to work out the kinks.
 Based on conversations with our project building committee, the plan is to go live in the last couple of pilot branches in the first quarter next year. If no further issues develop, we hope to then be in a position to finalize the rollout program with a system over the next 18 to 24 month throughout Orkin. When fully ramped up, in the full rolled out mode, that capitalized, non-recurring, implementation cost could run between $1.5, $2 million a quarter.
 These are very tentative numbers, and I refer you to our forward looking statements. It takes about 3 months for the branch to get comfortable on a new system and about 6months to start gaining the benefit. It’s our objective to obtain benefits from the early adopters offsetting new branch cost once we get through the first one half of the rollout.
 It has long been the philosophy and practice of Rollin to return capital to our shareholders.
 For a number of years we have done this through increasing dividends and our share repurchase program. In fact this year marks the 10th year in which we have increased our annual dividend by a minimum of 12% each year. July, the Board approved the addition of 5 million shares through our existing repurchase program. And yesterday, we announced that we will be paying a special one-time, year-end dividend of $0.12 payable December 10, 2012, to stockholders of record at the close of business November 9. This is in addition to our $0.08 regular quarterly dividend.
 We are pleased that our strength of our balance sheet and our strong cash generation ability continues to provide us with the capability to return value to our shareholders with these initiatives. Hard to believe, 2012 will be drawing to a close. We haven’t come close to exhausting the opportunities we have to continue to grow and improve our business.
 I look forward to talking to you next quarter share our fourth quarter and record year result. Lastly, let me express our appreciation for a job well done to all the Rollins associates whose hard work and dedication are behind these outstanding results.
 With that, I’ll turn the call now back over to you Gary. 
Gary Rollins: Thank you, Harry. We’re now ready to open the call for any questions that you might have. 
Operator: [Operator Instructions] Our first question is from the line of Clint Fendley of Davenport & Company. 
Clint Fendley: I joined the call little bit late, so I apologize. But I wondered if you update us on the HomeTeam growth that you are seeing there in the quarter? 
Gary Rollins: Yes, HomeTeam was our second fastest brand in terms of growth. Their revenue numbers were up in excess of 7%. What was really encouraging the growth in their installs with builders. Builder installs this year are up 30% over last year. Total installs will  exceed 50,000 this year. They feel with the growth they’re seeing confidence. Between the builders and the buyers, they are expecting to see additional strong growth next year. We signed a national agreement there with one of the top home builders, Lennar, for now, which will give us additional development as well. So short-term, it has some pressure on their margin, but long-term, we’re really excited for those $50,000 plus this year, will translate into more than 30,000, 35,000 customers next year. 
Clint Fendley: So is the growth in the install here reflective of just the increased relationships that you guys have been able to establish post the acquisition here a couple of years ago? 
Harry Cynkus: I think certainly we work on the relationship, we’re probably dealing with less builders today than we were in 2008. A lot of very small builders that forced out of the business in the economic downturn, but I think building is coming back. 
Gary Rollins: The statistics have indicated, we’ve seen a stronger surge in new home construction within the last 6 years. We are coming from a lower base, but it’s certainly encouraging and as Harry indicated, the way that works is kind of like planting a garden. As we do those, you really don’t generate social revenue to any extent build the new home, homeowners buys the house and activates the system. 
Clint Fendley: Right. And also the longer-term I mean, is it going to be a challenge maintaining this growth rate with HomeTeam, I guess under a sort of the dual brand structure that you guys have or are they just the main Orkin franchise competing in a completely really different space from HomeTeam? 
Gary Rollins: Orkin never has really done new home construction to any significance. So I mean, you may have a branch here or there that does pretty well, but not mainly extend in fact, that was the thing that appealed the most of us about HomeTeam. And plus they have the Tubes In The Wall system which Orkin doesn't have. So, HomeTeam has by far the strongest brand in that whole new construction area, and we don’t really feel like Orkin is a threat or vice versa. 
Clint Fendley: Okay, thank you. I guess switching gears here kind of last question. On the new software cost, I mean, is that something that we would expect to be capitalized then. Is it going to be a much of an expense on those items and can you just help frame how we should be thinking about those costs as we move forward with the implementation here? 
Gary Rollins: Yes. Well, the numbers that I gave you the $1.5 million to $2 million a quarter is something we think that is the non-recurring implementation cost. So that it’s not the-- does not include depreciation, doesn't includes the cost to capitalize. And when we believe once we get halfway through the implementation, the savings that we will be getting from the productivity improvement and the benefits of the system starts to offset that additional running costs that ultimately fully rolls off, rolled out those costs will go away. Now, we’re hoping to complete the piloting in the first quarter and start ramping up the implementation that in the second and third quarters. So we'll have to consider our branches carefully because we'll be in season and probably won’t hit our stride until late in the year in terms of big press on implementing the software. 
Operator: Thank you. Our next question comes from the line of Jamie Clement with Sidoti & Company. 
James Clement: You all have owned HomeTeam through a real rough housing stretch and obviously, now it seems like things are going to be getting better. Can you talk a little bit or remind us, because I think the last time this was brought up and perhaps when you made the acquisition, can you just talk a little bit about the economics of actually serving a customer once they’ve turned on the system, once they’re in the house, they bought it, and have become a HomeTeam customer, like in other words, approximately how many homes can a technician serves, how many tubes customers can a technician serve in a day versus a traditional pest control technician? 
Harry Cynkus: The really nice to think about HomeTeam is, when they sell to the builder, it’s not an option in the house, okay. They go to the builders as a item that goes in all of the houses with the development. So if there is a 30-home development, all 30 homes will have Tubes In The Wall, if it's 2,000 home is that development, all 2,000 homes will have it. With their capture rate as being as high as it is, so once that development gets built out, you put a technician in there to service the homes, but again remember, you don’t have to go in the house do an outside service then you unlock the port on the outside of the box and service it. So the productivity is wonderful. We walk house to house in the development, sometimes don’t leave the development for a week. We do let them go home and have dinner and sleep. So great productivity that are wonderful and we’ll help their margins. 
Gary Rollins: We also have another thing Jamie is our retention is better than conventional pest control. 
James Clement: Okay. And that’s just simply that it’s actually is the system, I don’t know if there is upside sort of to conclude one way to the other, but I mean are there actually having the tubes in the wall actually is that a superior way to control pests? 
Gary Rollins: Well, in some areas it is, because you’re getting back behind the walls certainly and to add to Harry’s comment, I mean if the customer's having a problem inside, if they have mice or they have a rodent infestation that needs additional supplemental service and we go inside. We do what’s necessary to take care of the problem. But I think the biggest reason that the retention is better is that you’re not interrupting their lifestyle. I mean that the family member doesn’t have to be home, it’s much like lawn care to that extent. So you’re not at inconvenience in any regard and then if they do have a particular problem that the conventional application is not taking care of and certainly we do whatever is necessary to take care of the problem. 
Harry Cynkus: And the other thing too is, that homeowners bought a house and bought it with a pest control defense system and it’s not unlike buying a house with build-in vacuum cleaner or alarm system or sprinkler system. You bought something and you value it and you utilize it and to the extent and with regards to pest control defense system, your locked into getting serviced by HomeTeam with only Hometeam. So homeowners have a vested interest more so than on a regular service. 
James Clement: Okay. Changing gears if I may, in terms of your lead generation, is that still trending in the direction of the Internet? I was wondering if Gary or Harry, you might comment on mobile and whether that’s an area where you’re starting to increasingly generate customers? 
Gary Rollins: Yes, to respond to the first observation, yeah, the Internet is really kind of the workhorse as of late and which has been well-timed because conventional media just, it’s not doing what it use to do. But we feel get a lot of leads from the Yellow Pages and from our TV advertising et cetera. But I think we continued, internet now has passed what I would consider the conventional phone leads. The second problem or part of that deal was, we are getting very much involved in this whole mobile area. And it’s really amazing what we are seeing in some of these app applications as far as our HomeSuite and, that technology is even kind of leapfrogged the conventional development of software for iPad’s et cetera. 
Harry Cynkus: So, the application and we do have run ads on mobile phones, we have a big button call us and it connects right to us. I don’t have any breakdown as to internet leads versus mobile. I haven't seen that. But I know, we can identify the type of phone that these are calls' coming in on. An Apple phone lead seems to work a lot better than a Metro PCS lead. But I haven’t seen any specific numbers broken down one to the other. 
Operator: [Operator Instructions] Next question is from the line of Joe Box with KeyBanc Capital Markets. 
Joe Box: Question for you on your special dividend, which looks like it may have been in place of a buyback for the quarter, I’m just curious would this really a tax uncertainty-based decision, or could you potentially be changing your capital allocation policy at all? 
Gary Rollins: We are not changing our capital allocation policy at all, it wasn’t in place of a stock buyback. We’ve always been a opportunist buyer on the stock. It was pretty strong in the fourth quarter. We didn’t see on the days we aren't the blackout, we didn’t see the opportunity to pick up shares at a discount. So it’s not unusual to see a quarter  or 2 that we don’t buy shares but we’re always looking for that opportunity. In terms of, I think everyone is aware taxes are changing next year or so, how clear and in what direction, I guess will be determined in about 30 days. But we certainly have some built up cash. We got great cash generation ability going forward and the board thought it would be nice to gift back to our loyal shareholders to return some capital to them. And they will review the dividend policy as they do every year in January and make an evaluation separate on what the dividend should be going forward. 
Joe Box: Great, I appreciate the call there. With respect to the 8 branches where you rolled out the ServiceSuite, can you just give us some of the preliminary results from the system in terms of maybe where you’re seeing some productivity savings and then maybe also highlight some initiatives where you’re starting to see the most success, versus some of the biggest challenges. 
Gary Rollins: It’s kind of a mixed bag really. When you take a branch and put in a new operating system, the first I guess priority is survival, because things are different and things are not working exactly right and they're having to understand new reports and new operating procedures et cetera. So I wouldn’t really think that we could look back and say, that we’ve really seen great gains in the year in productivity, of retention, because of just the commotion that you have when you’re doing these things. You know they say what is it a pioneer, that’s the guy that gives the most arrows and I think that these new branches have certainly have had a more difficult time than the next 8 branches will have. The interesting thing that held truth from the very beginning is that field really likes the system. I mean at no time have they ever said we want to go back on Focus please, stop, et cetera, et cetera, because their routines that they can see the benefit from even though they’ve had some kinks. So all along is the things that one of the factors that have kept us so encouraged is that they can see the benefits. Now, it's not manifested itself yet as far as the bottom line is concerned but we’d have every confidence that they will. 
Harry Cynkus: I think we concentrated up to now on the challenges. It’s easy to find the challenges but I think we said something in the last quarter, we see that on the residential side of the business, business is really working really well. On the commercial side that’s where we have some challenge, we need some, add some not as robust as to meet some of the demanding challenges we have in our larger commercial accounts and during this hiatus that’s where the work has been spent. And one of the other challenges, we didn't get the billing quite right. Some of the pre-billing wasn't going out way it used to.  We've seen some growth in AR as a result and we're fixing the billing issues as well. So that’s why we have a few more branches to pilot because we would like to give them a more robust version of the software to really be able to have a good branch to measure against. And I think that the first 8 have proven to us the concept works, the software is robust, it adds a lot of things that we want very field friendly, user friendly, but we need to fix the kinks to really measure, exactly how well it’s performing, but it's got a lot of potential. 
Joe Box: Got you. And just a follow-up on one of the earlier questions from HomeTeam, if you were to look at the potential trajectory for new housing build and the installs that would be implied there and if you were to pick up your 30,000 customers that you guys are forecasting for next year. What type of revenue growth does that imply for HomeTeam in 2013? 
Harry Cynkus: Well, the - good question. Trajectory on growth. I’d be the last person to give you an accurate projection what building activities are going to happen next year-- that consumer confidence stays high, mortgage rates stay low. We saw 30% increase in installs this year, is it 30% next year, is it 3%. We certainly think it that will be more than 3%, but we don’t expect to see a 30% on top of this year. Throw a dart at the wall, pick a number or look at someone who had more knowledge and can predict the housing starts next year that than I can. Their revenue gain as I mentioned they had 7% revenue growth this year. We would expect that to continue and accelerate next year by single-digit. 
Gary Rollins: You can need to keep in mind that half of their business, or more than half of their business is conventional pest control. 
Harry Cynkus: 60% actually. 
Gary Rollins: So we are talking about half, and as Harry said, there is a lot of unknowns, but I would expect that we will be in a high single digit. 
Joe Box: Okay, that’s a great color. Harry, can you just remind me if there is a headwind at all to top line from having 2 fewer work days and would that potentially create a benefit on the margin just from putting in less cost? 
Gary Rollins: The headwind from  less work days on our recurring pest control you get that in. I mean you know, you have to do so many service visits in the month and you get in there. What we find on the non-recurring, we have less days, we have 2 less days to do termite completions. So we have 2 less days to-- So you'll see some headwinds in the revenue that you will get back in the month, when you get a couple of extra days. So it affects us on the margins could cost us something on the revenue side few .10s of a point maybe. 
Joe Box: Last question for me and then I will turn it over. It looks like you guys opened 4 International franchises so far year-to-date. Can you just refresh us on, what the pipeline looks like there and maybe what the current revenues are, that are generated by the franchises versus the revenues that you are currently getting? 
Gary Rollins: We comment international first or... 
Joe Box: Just International. 
Gary Rollins: We’re very excited, I would expect that we’re going to be adding 4 to 6 international franchisees this next year, it could be more. China is very exciting, we’ve just come back from Beijing. We have a lot of interest in China. We’ve been able to kind of piggy back on sister company, our all service companies contacts in China. So we’re pretty excited about that. We are planning to add a person to our franchise team to concentrate in South America. We’ve added our first South American franchise in Chile, so we think that that could be very productive. We have just recently been advised that our United Europe immigrants has gotten one part of the contract that they’ve been working on which is a multimillion dollar pest control contract. So we’re very excited and optimistic about our international franchise. Domestically, we have now about approximately 60, close to 60 maybe more. And the exciting part of that is the acquisition provision, but again I mean we like the idea of royalty income from our franchises, but really what we wanted to do is to grow these $1 million to $2 million businesses kind of off of the balance sheet if you would, and being able to exercise our purchase right and really kind of speed up our growth in a secondary market. It will take 10, 15 years for us to ever really get to it. So I think that this year we’ve got a couple of those just the way the chronology works. But a couple of those were come up for purchase and certainly be a contributors as far as the company is concerned. 
Operator: Thank you. And I’m showing no further questions at this time. I’d like to turn the conference back over to management for any closing remarks. 
Gary Rollins: We’ll thank you again for joining us. We appreciate your interest and your attendance and we look forward to reporting back at the conclusion of a year on our fourth quarter. Thank you. 
Operator: Thank you, sir. Ladies and gentlemen, if you’d like to listen to the replay of today’s conference, please dial 1-800-406-7325 or 303-590-3030 using the access code of 4568454 followed by the pound key. This does conclude the Rollins, Inc. third quarter 2012 earnings conference call. We’d like to thank you all very much for your participation, and you may now disconnect.